Operator: Good afternoon. My name is Julie, and I will be your conference call facilitator today. Welcome to Frontera Energy's First Quarter 2024 Operating and Financial Results Conference Call. All lines are currently on mute to prevent any background noise. I would like to remind you that this conference call is being recorded today and is also available through audio webcast on the company's website. Following the speakers' remarks, there will be time for questions. Analysts and investors are reminded that any additional questions can be directed to the Frontera, following today’s call at ir@fronteraenergy.ca. This call contains forward-looking information within the meaning of applicable Canadian securities laws. Relating to activities, events or developments, the company believes or expects will or may occur in the future. Forward-looking information reflects the current expectations, assumptions and beliefs of the company based on information currently available to it. Although the company believes the assumptions are reasonable, forward-looking information is not a guarantee of future performance. Forward-looking information is subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking information. The company's MD&A for the quarter ended March 31, 2024, and the company's annual information form dated March 7, 2024. Another document it files from time-to-time with securities regulatory authorities describe the risks and uncertainties, material, assumptions and other factors that could influence actual results. Any forward-looking information speaks only as of the date on which it is made, and the company disclaims any intent or obligation to update any forward-looking information, except as required by law. I would now like to turn the call over to Mr. Gabriel de Alba, Chairman of the Board of Frontera Energy. Please go ahead.
Gabriel de Alba: Thank you, operator. Good morning, and welcome to Frontera's first quarter 2024 earnings call. Joining me on today's call are, Orlando Cabrales, Frontera's CEO; and Rene Burgos, Frontera's CFO. Also available to answer questions at the end of the call, we have Victor Vega, VP, Field Development, Reservoir Management and Exploration; Alejandra Bonilla, General Counsel, Ivan Arevalo, VP Operations; and Renata Campagnaro, VP Marketing, Logistics and Business Sustainability. Thank you for joining us. Frontera is focused on delivering on its strategic objectives and generating value for its stakeholders. In the first quarter, the company generated $97.2 million in operating EBITDA, $25.7 million of adjusted infrastructure EBITDA and maintained a robust balance sheet, finishing the quarter with a total cash balance of $182 million. During the quarter, Frontera declared a $157 million dividend, $54.9 million net to Frontera, highlighting the strong cash generation capacity of this strategic infrastructure investment. The company also achieved an agreement in principle with Ecopetrol for the use of the company's Reverse Osmosis Water Treatment Facility SAARA through a two-year contract. This a significant ESG and a strategic milestone, which will drive greater produce water disposal and crude oil production capacity at the Quifa block. So far this year, the company has returned nearly $13 million of capital to our stakeholders including $7.8 million in declared dividends, $3 million of common share repurchases and $1.5 million of buybacks of its 2028 unsecured notes. Moreover, the company we support from Goldman Sachs as well as the strategic alternatives process for its standalone and growing Colombian infrastructure business, which may include spin-off, a total or partial sales or the business combination. With over $1 billion of capital invested Frontera's infrastructure assets, our unique investment opportunity in some of Colombia's most relevant infrastructure assets. The real pipeline enacts the most prolific oil reserves areas in Colombia. The Meta and Casanare department, which together holds 70% of the national 1P crude oil reserves to the rest of Colombia's midstream network and transports 30% of the total country oil output. ODL has paid over $1.2 billion in distributions since inception. Completed in 2015 Puerto Bahia, state-of-the-art liquid and dry cargo port terminal strategically located in the heart of the Bay of Cartagena. Trading on their maritime concession, the port owns over 150 hectares of freehold land, which includes 2.4 million barrels of oil and oil product storage capacity over 50 hectares of dry cargo surge capacity and an additional 75 hectares of expansion capacity to develop the strategic initiatives. The recently announced Connection Agreement with the Reficar Refinery planned to come online this year and is expected to drive additional hydrocarbon volumes and strengthening Cartagena's role as a regional leader and economic hub for the hydrocarbon space. Looking ahead, the company will consider future shareholder initiatives in 2024 and beyond including potential additional dividends, distribution or bond buybacks based on the role results of our business and the company's strategic goals. I will now turn the call over to Orlando Cabrales, Frontera's CEO; and our CFO Rene Burgos will share their views on our first quarter results. Orlando?
Orlando Cabrales: Thank you, Gabriel. Good morning, everyone and thank you for joining us this morning. Frontera's first quarter results were in line with our expectations, despite some unforeseen challenges. First quarter production declined approximately 3% on a quarter-over-quarter basis, impacted primarily by light and medium natural declines and expected well fails partially offset by our resilient heavy oil operations. During the quarter, our heavy crude oil production grew 2% on a quarter-over-quarter basis reaching approximately 23,400 barrels per day. We also experienced another average daily production record of $7,000 at the CPE-6 block. The growth in our heavy oil business came despite several challenges including the impact of community blockades, as well as delays associated with our strategic disposal initiatives including SAARA. If these events had not materialized, we would have expected an increase on production of approximately 725 barrels per day. We expect activities in SAARA, to start up during the second quarter and to continue ramping up during the rest of the year, supporting how our heavy oil production operation in Quifa, with the objective of processing more than 250,000 barrels of oil per day for the Quifa block once we stabilized. Additional activities supporting our growth outlook for our heavy oil also include, a new water injector well in Quifa, coming online this month, expected to provide an additional 100,000 of barrels of oil per day. Also we continue our efforts to expand our water handling capacity in CPE-6, we continue to capitalize on our production growth. Since the end of 2022, we have increased water handling at the CPE-6 block from and 120,000 barrels per day to 240,000 during 2023 and growing to 360,000 barrels of water per day during this year. Our trading campaign on these blocks has also started strong and is meeting expectations. Quarter-to-date, we have drilled 20 development wells in the Quifa and CPE-6 blocks. On our light medium operations, we suffered some unanticipated setbacks that resulted in lower levels of production than planned including some unexpected oil figures. We will continue to invest in work order and well service activity in these blocks, to recover production. Additionally, we continue to invest in our B1 block including gas compression facilities that will aid in the injection of close to 20,000 to 30,000 Mcf and is expected to increase production at the B1 block. On the exploration side, we are excited about supporting the high impact Wei-1 well and the B1 scheduled for June of this year. The company completed important civil works activities into a platform and work construction in advance operating the well. We reiterate our production and capital guidance for 2024. With these activities, along with our drilling program, we expect improved production and profitability throughout the rest of the year as we advance our development portfolio in Colombia and Ecuador. Along with our active pursuit of strategic alternatives for our interest in the Corentyne Block in Guyana which is still ongoing and our recently announced Osmosis Water [ph] alternative review for our growing Colombian Infrastructure business. The company remains focused on unlocking value from the some of its ports. I would now like to turn the call over to Rene Burgos, Frontera's CFO.
Rene Burgos: Thank you, Orlando. Thank you everyone for joining us today. I'd like to take a moment to highlight a few key financial aspects of our first quarter results. For the first quarter, the company recorded a net loss of $8.5 million or $0.10 per share. This quarter's net loss follows approximately $44 million in income from operations plus share of income from associates, which includes $14 million of share income from ODL, offset by roughly $17 million in finance expenses, $9 million in losses related to risk management contracts and approximately $23 million in income tax expenses, including almost $22 million in deferred income taxes, primarily due to the impact of non-deductible expenses and differences related to foreign currency fluctuations. During the quarter, the company assumes an income tax rate of 50%, inclusive of the 15% surtax associated with the 2022 Colombian Tax Reform. Moving to operating EBITDA. Operating for the quarter was approximately $97 million. During the quarter, we saw weighted average Brent sales prices for Frontera of $82.35 at average has got a differential on our export sales of 4.7%. Compared to the prior quarter, our EBITDA performance was impacted by lower sales volumes, as well as sustained high energy costs and inflationary effects on our operating costs. You can have closer look at our operating costs, our production energy and transportation cost per barrel for the quarter totaled $10.21, $5.29 and $11.33, respectively. This compares with $9.69, $5.06 and $11.02 in the prior quarter. The increase in production costs quarter-over-quarter was primarily a result of higher well service activities, inflationary pressure on services and wage indexation that typically occurs at the beginning of the year. Regarding energy prices, we continue to see the effect of sustained domestic high energy prices and the impact of FX fluctuations. We saw higher energy costs driven by higher activity in the CPE-6 Block and the start-up of the additional water handling capacity there. For the first quarter, electricity comp accounted for 30% of our energy consumption and 46% of our total energy costs. Cash generation for the quarter was strong with cash from operations totaling $65.6 million, thanks in part to the strong Brent oil price environment, even to working capital related to lower sales volumes, offset partially by lower income tax withheld. It's worth highlighting that during the quarter, Columbian tax authorities reduced the overall tax withholding rates on oil export sales from 9.9% to 5.6%. Capital expenses for the quarter were roughly $70 million, including primarily comp associated with the drilling campaign of 21 development wells at Quifa, Cajua, CPE-6 and the Perico block for roughly $35 million. On the infrastructure side, adjusted EBITDA in the first quarter was $25.7 million, compared with $27.3 million in the prior quarter. The quarter-over-quarter change was due to lower general cargo revenues for Puerto Bahia, lower transported volumes at ODL, lower oil sales ProAgrollanos as a result of lower palm oil prices and higher operating costs across the segment due to inflationary pressures on services and negative impact from foreign exchange rates. More specifically and with respect to ODL, EBITDA for the first quarter was $70.8 [ph] million, down 9% on a quarter-over-quarter basis due to lower transported volumes and inflationary pressures driving higher operating costs as compared to the prior. Additionally, ODL declared $157 million in dividends, including approximately $55 million net to Frontera. And a net -- and a return of capital close to $23 million, or $8 million net to Frontera. These capital payments are payable in installments through 2024. In April 2024, the company received the first installment equal to 50% of the total capital distributions declared. As of March 31, 2024, the company reported a total cash position of $182 million, including $155 million of unrestricted cash. Turning now to risk management. Our current risk management strategy continues to show our hedging discipline supports our operations and planning. Frontera uses derivative instruments to manage exposure to oil price and FX volatility. On the oil side, during the first quarter of 2024, the company successfully secured a 40% hedging ratio for the April to August 2024 period and entering two new hedges that protect a portion of our expected production for September 2024, protecting us of a potential drop in oil prices at average strike price of $72 and $76 for the second and third quarter, respectively. Frontera has also entered into foreign exchange rates totaling $30 million or approximately protecting the risk exposure above 39.70 [ph] for the third quarter. Frontera also entered into forwards to protect the ODL capital distribution and the repayment of the Bancolombia, into denominated working capital loan. These hedges provide the company with stability and will help mitigate future fluctuations and allow the business to deliver on its target. Finally, I'd like to provide an update on our shareholder value initiatives. Under the company's current NCIB, which commenced on November 21, 2023, the company has repurchased approximately 840,000 shares or just over 1% of our total common shares pending for cancellation of approximately 5.8 million as of March 8, 2024. Frontera is authorized to repurchase up to 3.9 million shares as part of this program. With respect to our announced dividend on April 16, Frontera paid approximately $3.9 million or CAD 0.0625 per share and will pay CAD 0.0625 to shareholders of record as of July 3, 2024, on or around July 17, 2024. I would like to now turn the call back to Orlando.
Orlando Cabrales: Thank you, Rene. Before I wrap up today's call, I would like to highlight that during the quarter, Frontera offset nearly 50% of its CO2 emissions on the production and consumption of energy in our operations, through carbon credit purchases. The company also achieved a Total Recordable Incident Rate of $0.72 and we use 20% of its water production and 37% of its operating waste. The company also invested $0.5 million in social projects and communities near its operations in Colombia, Ecuador and Guyana. On February 22, Frontera was recognized by Ethisphere, as one of the most -- World's Most Ethical Companies for the fourth consecutive year. Frontera was also recognized for the second time as one of the 20 best workplaces for women in Colombia by the Great Place to Work Institute. And finally, a few thoughts on our strategic review processes. The company will support Houlihan Lokey continues to actively pursue strategic alternatives for its interest in the Corentyne block in Guyana, including a possible farm down. And as Gabriel mentioned, the company launched a strategic alternative review for its stand-alone and growing infrastructure business. Frontera's Infrastructure business is comprised by the company's 35% equity interest in the ODL pipeline and its 99.97% equity interest in the Puerto Bahia. Infrastructure business has generated $120 million of adjusted infrastructure EBITDA and $47.3 million in capital distributions in 2023. Frontera has retained Goldman Sachs as financial adviser and may retain other advisers to assist the Board in evaluating the various strategic, business and financial alternatives. These processes are part of the company's efforts to streamline the business portfolio and unlock value from the some of its products. Frontera believes the value of these assets is not reflected in the current stock price, and these processes aim to drive value for shareholders. There can be no guarantee that the strategic process will result in a transaction. With that, I would like to conclude by saying thank you to Gabriel and Rene for your comments and thank you, everyone, for attending our call. I will now turn the call back to our operator.
Operator: Thank you. [Operator Instructions] Your first question comes from Anne Milne from Bank of America.
Anne Milne: Hi. Good afternoon. Thank you very much for the call today, and thank you for outlining some of your strategic initiatives that you're focusing on. I have two questions. One is sort of a broad question and the other is a little bit more specific. The first one has to do with, I guess, the strategy towards your bonds. They are one of the cheapest bond among the independents in Latin America and in Colombia, which sort of mystifies me because you have a good diversified asset base. And you have good cash flow and relatively low leverage. At some point, would you consider doing either more of a buyback or an exchange for something maybe more amortizing or something? Just so you can be more in line with your peer group. I think that could also eventually help your equity valuation, if people are less concerned about the debt and that there might not be any hidden problem. So there's sort of a very generalized question. The second one, I think, has to do with the initiative that you outlined in your press release, which is for looking at alternatives for your infrastructure assets. And just wondering, if you have any idea of what the range of multiples are for this type of business in Latin America? Thanks very much.
Rene Burgos: Hi, Anne. Thank you very much for your question. I think I'll tackle the first one. First, our bond strategy, I think that we've been in tune was very upfront that we are going to continue to seek all alternatives for us to maximize value to all of our stakeholders. Right now, we're very comfortable with our bonds at 2028 maturity. We're certainly disappointed with the overall trading levels but we're going to keep an eye and proactively can only do what in the best interest of the company, shareholders, and all its stakeholders. Thus far this year we've acquired roughly $1.5 million in notional. And looking forward we will continue to kind of just -- as our Chairman laid out seek our opportunities to see where our best dollars invested to maximize that value. As it relates to the infrastructure initiative that is a very good question and looking at one that we believe which is on what Orlando highlighted in his portion of the call when he said that the value of these assets are not reflected in our stock price today. These are assets and perhaps when I compare to where our companies trade in the oil and gas field you see oil and gas players trading to cash flow and you are from 2 to 3 times depending on the oil price cycle. We believe that these are assets that trade much higher than that. And we believe through this exercise we're going to be able to unlock some of that value. I think that you can probably help me better by giving me some indications as to what you do [indiscernible] a lot of these market players. But while we can say confidently that these assets their predictability relate to their cash flows should marry a much higher multiple than what Frontera did all the in past.
Orlando Cabrales: Yes. And maybe if I may just to build on what Rene says. And I think Gabriel emphasized this in his remarks is that looking ahead, we will consider different shareholder initiatives including -- 2024 and beyond of course including potential additional dividends distributions or bond buybacks. So, the comment is well taken. And the other comment is if we really believe that the infrastructure assets has a significant cash generation and different categories for the long-term growth in those assets. So, we are excited about it and are ready to start working on this process.
Anne Milne: Okay. Thank you.
Operator: Your next question comes from Oriana Covault from Balanz. Please go ahead.
Oriana Covault: Hi, thanks for taking my questions. This is Oriana Covault with Balanz. I have two questions mainly. The first one is a follow-up on your announcement on this valuation of strategic opportunities. So, what we read about these plans to monetize or spin off these assets. And we agree that it seems like a great way to allow value for shareholders given the different valuation multiples. We were just wondering if in the case of a sale of these assets or even a portion of the equity to be spun off the vehicle the indenture of your bonds or other debt documents mandate you to use the proceeds to repay debt at least partially? Or would this be something that you'd consider doing voluntarily applying any eventual proceeds to bond buybacks? Thanks.
Rene Burgos: Thank you, Oriana. On the bond sorry on the potential proceeds from a sale of these assets and the ability to repaid back bonds. It's a terrific question. I'll remind you that these are unrestricted subsidiaries or bond. So, there is no obligation of the company to use these proceeds to repay the bond. However, as I alluded earlier, we are looking at great. And I think our Chairman said it, our CEO said it of generating over all of our stakeholders so certainly it would be a consideration, but it's certainly not an obligation.
Oriana Covault: Perfect. That's completely clear. Thanks Rene. And just on the quarterly performance just turning more on the production side of the angle we noticed that it's running at below the low end of guidance. So if you could perhaps share some more color on the catalyst to drive production with it guidance in the upcoming quarters? Thanks.
Gabriel de Alba: Yes. Well, as I said in my remarks, we are reiterating to our production and capital guidance. And basically the additional production that we are seeing coming up in the following months are as I mentioned many ones. I mean the first one is the new injector well in Quifa, which is coming online very, very soon in the following days. We are also increasing the water handling capacity of CPE-6 from 240,000 to 360,000 in the following months as well. And as I mentioned, just to reiterate, we are seeing again record production in CPE-6. And we are starting -- we expect to start at the SAARA facility in the second quarter after reaching an agreement in principle with Ecopetrol on a two-year contract. So that will allow us to increase water handling capacity for Quifa to 250,000 barrels per day. So, that is another one. The other one is Wei-1. As I said, we are increasing our gas process compression facilities in Wei-1. So that means more liquids production and some gas production. And we are also doing work order and well services activities in our light and medium blocks. So with those activities in mind, we feel comfortable today that we can reiterate our production guidance.
Oriana Covault: Perfect. That’s completely clear and thanks very much again guys.
Gabriel de Alba: Thank you.
Operator: Your next question comes from Roman Rossi from Canaccord Genuity. Please go ahead.
Roman Rossi: Good morning, guys, and thanks for taking the questions. I’ve a couple. So the first one is regarding the well failures you mentioned…
Gabriel de Alba: Roman, sorry to interrupt you. I’m having really trouble hearing. If you use your handset, back away from your phone, it is some muffle or speak louder.
Roman Rossi: Okay. Can you hear me better now?
Gabriel de Alba: It’s better. Thank you.
Roman Rossi: Okay. So, regarding the well failures you mentioned in your disclosure, just wanted to get a sense on the quantity of barrels that you lost and if all the production is back online?
Orlando Cabrales: Yes. The production the production is back online. Those were unexpected sales. And with this additional activity that I mentioned earlier, work over on well services, we are expecting to increase production in goals in that asset.
Roman Rossi: Okay. And the second is regarding Reficar connection. When are you expecting to compete? And can you give us a sense on CapEx on a quarterly basis given that you still have like $40 million to deploy during this year?
Gabriel de Alba: Is that $40 million? I didn't get that.
Orlando Cabrales: Can you repeat that? You asked about the Reficar connection but you add another thing which I didn't understand.
Roman Rossi: The second part is regarding quarterly CapEx as you have $40 million to deploy yet.
Orlando Cabrales: Okay. Let me start with the Reficar connection. The Reficar connection is going very well. We are still planning to end the construction -- the connection by the end of this year as we have mentioned before. So that is on track consistent with our plan. We have been making progress on different fronts right off point negotiations, awarding of the EPC contract. So we are on track to finalize the connection by the end of the year.
Rene Burgos: On the other question, you just need to look at the bulk of our CapEx, because I think you're focusing on the drilling campaign. And the drilling campaign, as I was alluded to in going on strong but a significant part of our drilling campaign is the associated facilities and some of those just require that interconnection flow lines et cetera, to get everything to properly connect and to produce. So today we've invested roughly $54 million out of the $180 million to $210 million of the total program. I don't know if that was your question. We can get more clarity if you would like, Roman.
Roman Rossi: Thank you.
Operator: Your next question comes from Cameron Ross from Mangrove Partners. Please go ahead.
Cameron Ross: Good afternoon. I was hoping you could talk about the tax implications of a spin versus asset sales the infrastructure asset in light of assets in light of the NOLs at the company.
Orlando Cabrales: That's a very good question. Look, we're exploring the different alternatives. Ultimately, there is a -- I don't have exact response to you. To be very transparent that's the reason why we're doing this review today or we're launching this review today. Ultimately, we're capable of distributing value to our shareholders. One. The second part of that answer is that every single asset has a certain tax basis to really just depend on the price on which is struck and the value generated at that and then how that money is mobilized up and distributed. But in the coming quarters, we're hoping to give all of our investors a better picture of how that will look like. What I can say is that to the extent that we do have a cash transaction for any of our assets, we do not see any impediment to be able to deliver value associated with our cash to our investors.
Cameron Ross: Okay. Thank you.
Operator: [Operator Instructions] And there are no further questions at this time. Should you have any further questions, please e-mail ir@fronteraenergy.ca. This concludes the call. Thank you for joining and you may now disconnect.